Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Euroseas Conference Call on the First Quarter 2021 Financial Results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a Question-And-Answer Session. [Operator Instructions] I must advise you that this conference is being recorded today. Forward-looking statement. Please be reminded that the company announced their results with a press release that has been publicly distributed. Before passing the floor to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized. I kindly draw your attention to Slide number 2 of the webcast presentation, which has the full forward-looking statement and the same statement was also included in the press release. Please take a minute to go through the whole statement and read it. And now I would like to pass the floor to Mr. Pittas. Please go ahead, sir.
Aristides Pittas: Good morning, ladies and gentlemen, and welcome to our scheduled conference call for today. Together with me is Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the three months ended March 31, 2021. Let us turn to Slide 3. Our income statement highlights are shown here. For the first quarter of 2021, we reported total net revenues of $14.3 million and net income of $3.8 million.  Net income attributable to common shareholders after a $0.2 million dividend on the Series B preferred shares in the first quarter of 2021 was $3.6 million or $0.53 per share basic and diluted. Adjusted net income attributable to the common shareholders was $3 million or $0.45 per share basic and diluted. This difference stems mainly from the unrealized gain we had on the value of our interest rate hedge. Adjusted EBITDA for the period stood at $5.6 million. Tasos will go over our financial highlights in more detail later on in the presentation.  Please turn to Slide 4 where we discuss our recent operating developments. The charter of Akinada Bridge declared the 10 to 12 months option at $20,000 per day as from December 2021. Our EM Kea was extended for a period of 25 to 28 months at $22,000 per day, starting from April 2021.  The EM Hydra was fixed for 23 to 25 months at $20,000 per day as from May 2021. The Joanna was fixed for a period of 18 to 21 months at $16,800 a day as from May 2021. Finally, the Synergy Busan was fixed for a period of 36 to 40 months at $25,000 per day as from April 2021. Overall, the duration of these charters was an average around two years. As mentioned in the previous earnings call, our EM Corfu suffered damage on its tail shaft in early December and was idle for two months due to repairs in drydock till February 9 and it has since resumed its operations. All the costs of the repair will be recovered by hull and machinery insurance, minus the deductible of about $100,000 and the off-hire time.  There were no drydocks or any sales and purchases during the first quarter. I am very pleased to announce also the completion of our first Environment, Social & Governance report and the posting of it on our website. We are strong believers in the necessity, but also added value that is provided by exhaling in all three focus areas of ESG.  Please turn to Slide 5 where you can see our current fleet profile. Euroseas fleet currently consists 14 vessels including 9 feeders and 5 intermediate container carriers with approximate 540,000 deadweight tonnes and 42,000 TEU capacity. The weighted average age of the fleet is about 16 years in TEU terms. Slide 6 shows our vessel employment chart. As you may see, coverage for 2021 stands at 89% and the contracted EBITDA is $32.8 million. This figure is nearly three times higher than our 2020 EBITDA.  For 2022, we have already moved 49% of our vessel days at the contracted EBITDA level of about $28 million. We still have five vessels opening up for a charter within the year and we will be gradually fixing them as they open up always looking to fix long periods, but also ensuring that the opening will be staggered over time as well.  Please turn to Slide 8 to look at how the market fared during the first quarter-to-date. Over the last three months, the containership markets have continued their upward path exceeding their previous peak of 2008 and coming within the reach to challenge their all-time highs last observed in 2005. Since the midst of last year, the spike in seaborne freight rates was initially reviewed as a short-term reaction to the strong demand shortfall by the early stages of the pandemic and ensuring in-stocking.  The market has continued to strengthen and for the last year, the twice weekly ConTex Index has risen on every reading reflecting also a real demand growth. We believe this favorable market fundamentals will continue over the remainder of the recent next years as well the economies are projected to continue recovering from the pandemic induced lockdowns to register strong growth rates, while in parallel, vessel deliveries are expected to be modest over the same period.  Please turn to Slide 9 where we give a bird’s eye view of the general container market for the first quarter. As shown in the slide, time charter rates across all segments skyrocketed over the past six months drawing a positive picture which by far exceeds historical median and average levels and has reached rates not seen since 2008.  Overall vessel sizes one year time charter rates as of May 2021 have at least doubled from the figures seen in Q4 2020, just a few months ago. It’s worth mentioning here that the surging markets has also lifted the Howe Robinson Containership Index to 2,133 points. The previous all-time peak of 2,093 points was set almost 16 years ago in June 2005. The average secondhand price index rose on average by about 30% in Q1 2021 over Q4 of 2020, while price increases varied across different age groups with the elder vessels increasing by more than 100%. During the first quarter Newbuilding prices were increased by approximately 10%, on the back of steel prices being on the rise and fresh interest for newbuildings on the back of the containership market rises.  The inactive containership fleet currently at the end of May 2021 stands at about 240,000 TEU, approximating 1% of the fleet, the majority of which is Iranian controlled still sanctioned vessels and vessels that never reactivate.  I remind you that just a year ago in mid-May 2020, the inactive fleet stood at 2.7 million TEU. The number of vessels scrapped decreased in Q1 to only 10 ships or 8,000 TEU despite scrap prices that have increased to about $550 per light weight tonne due to the high demand for steel.  On the whole, in Q1 2021, the fleet grew by 1% without of course accounting for idle reactive vessels or idling et cetera. Meanwhile, the order book has been significantly increased focusing though on the larger vessels and currently as of April stood at 17.6% from about 10% just three months ago above inflections. This is expected to reach the 20% level during May.  Please turn to Slide 10. As vaccine production is ramping and rollouts are gathering pace around the world, a return to more normal levels of social and economic activity looks to be achievable by most developed economies.  Thus pointing to an improved outlook for global growth. Of course current circumstances in developing and underdeveloped countries are not subdued, we really are being affected the most. Overall though, global demand seems to continue to be on the rise.  In the beginning of April, the IMF projected a stronger recovery for the global economy in 2021 compared to their January forecast with GDP growth projected to be 6%, revised upwards for 5.5% in January.  Among the developing economies, China and India both continues growth for 2021. In fact, China maintains its momentum with a broadening recovery at 8.4%, compared to 8.1% growth estimated in the previous projections.  India’s growth is expected to be 12.5% by the IMF, although I think that the surge in pandemic may dent somehow the country’s growth prospects. That’s not on a large scale. In addition to China and India, the U.S. economy is estimated to grow at 6.4%, while the Eurozone’s GDP is set to rebound to 4.4%, compared to the previous estimates of 5.1% and 4.2% respectively.  Looking ahead, global growth for 2022 according to the IMF Economic Outlook will continue to see above average increases at 4.4% with most individual countries continuing to grow above trend except China and India, which are expected to grow at the still very reasonable 5.6% and 6.9% respectively. For 2023, estimated global GDP growth according to the IMF is estimated at 3.5%, which is around the pre-pandemic levels.  In terms of demand for containerized trade which closely coordinates global GDP growth over the last years and is measured in TEU per mile according to Clarksons estimates, we expect to see strong rebound in demand at 5.5% this year. For 2022 and 2023, the container trades are expected to hold up at reasonably high levels of 3.4% and 3.5% respectively.  As one might expect, all the above forecasts should be taken with the grain of salt as predicting the future is always difficult, but is now even harder due to the disruptions caused by COVID-19, which is vastly changing established life and trade patterns with unknown duration, interacts with an uncertainty of the geopolitical developments and global financial climate to make forecasting even more tweaky. Please turn to Slide 11 to review the containership age profile and delivery schedule. As we can see, in the containership age profile chart on the left side of the slide, overall, the containerized fleet is a young fleet with a mere 6% of ships being over 20 years old. However, the older vessels are mainly concentrated in the smaller size classes where our ships operate. The growth of the fleet in these segments in which we operate should be minimal in the next couple of years as no significant orders have been placed to-date, and even if orders are placed the vessels would not be delivered before the second half of 2023 or mid 2024.  The right-side chart shows the delivery schedule of the current containership order book, which is expressed as a percentage of the fleet. The circled figures for 2021 to 2025 are from just the order book before any scrapping and slippages. Currently, the total containership order book stands as we said before, at 17.6% of the fleet, and is rising.  This is however still a historically low figure despite the recent rise. The current delivery schedule provides a source of optimism for this next year with the continuation and further strengthening of current market levels if trade demand further recovers. Given that the supply side will be at minimum levels. On 2023 onwards, we could expect some correction if demand volumes.  Please turn to Slide 12, where we discuss our outlook summary. The unknown duration of the pandemic and its financial consequences has made predictions about the future trade very difficult. However, if the distribution of vaccines can help with the containment of COVID-19 in the developed markets by the first half of 2021, as widely anticipated and seen then in the second half of 2021 and 2022 and without experiencing catastrophic events, we can expect significant global demand growth. In any event, current logistical bottlenecks are expected to continue for the remaining of the year. In 2021, overall demand is therefore expected to be significantly stronger than in 2020 and higher than the supply growth. This, of course, spurs optimism for even stronger rates. Even though, we have already seen significant rate appreciation over the last three months surpassing the highest levels of the last decade. As a result, a modest correction if and when logistical bottlenecks seize cannot be ruled out. Longer-term fundamentals are hard to predict and as we said, it will depend a lot on the vessel ordering rate and the rate of growth of demand for containerships. Expected deliveries in 2023 are above 6.6% of the current fleet, which is not in the period. In particular though, the order book for smaller vessels still remains at historically low levels and it appears we good jobs that is in our ability until the end of 2023. Delivery schedule for 2021 and 2022 remain extremely small creating a good environment and suggesting rate support and possibly even further rises in the next two years.  Let's turn to Slide 13. The left side of the slide shows the evolution of the one year time charter rates for containers of 2,500 TEU since 2000. Since the financial crisis of 2008, to late 2022, rates stayed rather depressed with three spikes within the $5,500 to $15,000 per day rates. Currently, we are witnessing the highest price levels in charter rates seen over the past 12 years exceeding those seen even in 2008 before the market collapsed and are lower only than the levels we previously experienced in the mid-2000s. The right-hand side of the slide shows vessel values in relation to historical prices since 2011. As we can see, current containership values over the past six months have significantly increased above medium and average levels and are the highest they have been over the last decade. This of course was expected as rates are at the highest – at the highest too.  Under the current market conditions, our strategy is to only acquire vessels in combination with securing medium to longer-term charters that will bring the vessels down to medium valuations by the end of the charters. At the same time, we are always open to growing the company, using our listed platform to potentially acquire vessels in exchange of sales, as we had also done in 2019 when we bought seven vessels in that manner. In any event, the improved markets will increase the company's free cash flow, and we will continue trying to optimize its use between further growth, strengthening the balance sheet even more and returning capital to our shareholders having always our shareholders’ best interest as our top priority. And with that, I will now pass the floor to our CFO, Tasos Aslidis to go over our financial highlights in more detail.
Tasos Aslidis: Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. I will now take you through the next five slides to give you an overview of our financial results for the first quarter of 2021 and compare them to the same periods of 2020.  For that, let's turn to Slide 15. For the first quarter of 2021, the company reported total net revenues of $14.3 million, representing a 7.3% decrease of total net revenues of $15.4 million during the first quarter of 2020, which was primarily due to the lower number of vessels we operated in 2021. On average, 14 vessels were owned and operated during the first quarter of 2021 compared to 19 vessels during the first quarter of 2020.  The company reported a net income for the period of $3.8 million and a net income attributable to common shareholders of $3.6 million, as compared to a net income of $2 million and a net income attributable to common shareholders of $1.8 million for the first quarter of 2020. Interest and other financing costs for the fourth quarter of 2020 amounted to $0.8 million compared to $1.1 million for the same period of 2019 as a result of lower debt levels during the period. It should be noted that in the fourth quarter of 2020, we also recorded a loss on debt extinguishment of $0.5 million, due to the conversion of the loan to common stock as per the terms of the loan agreement in November 2020. Depreciation expense for the fourth quarter of 2020 was $1.6 million as compared to $1.5 million in the fourth quarter of 2019. Dry docking expenses amounted to $0.1 million during the fourth quarter of 2020, comprising of the cost of one vessel completing an intermediate survey in water. For the same period of 2019, dry docking expenses amounted to $1.5 million, due to the cost of 1 vessel completing a special survey with dry dock and 2 vessels completing the intermediate surveys in water. Adjusted EBITDA for the fourth quarter of 2020 was at $2.1 million compared to $1.2 million for the corresponding period of 2019, an increase of about 76%. Basic and diluted earnings per share attributable to common shareholders for the fourth quarter of 2020 were $0.07, calculated on 6.1 million basic and diluted weighted average number of shares outstanding, compared to a basic diluted loss per share of $0.18 for the fourth quarter of 2019, calculated on 5 million basic and diluted weighted average number of shares outstanding. Excluding the effect on the income attributable to common shareholders for the quarter of the unrealized gain on derivatives, the amortization of below market time charters acquired and the gain on the sale of a vessel, the adjusted loss attributable to common shareholders for the quarter ended December 31, 2020, would have been $0.16 per share basic and diluted. If we further adjust this number for the loss on debt extinguishment, the adjusted loss per share is reduced to $0.08 per share basic diluted for the fourth quarter of 2020 compared to an adjusted loss of $0.32 per share basic diluted for the quarter -- for the fourth quarter of 2019. Usually, as we stated in the past, secured channels do not include the above items in the published estimates of earnings per share. Let's now look on the right part of the slide to our figures for the 12 months for the full year of 2020. For that period, the full year, the company reported total net revenues of $53.3 million, representing a 33.2% increase over total net revenues of $40 million during the 12 months of 2019. That is due both to the higher other numbers under a vessel so we operated and the higher earnings were during the period. The company reported net income for the year of $4 million, and net income attributable to common shareholders of $3.3 million, as compared to a net loss of $1.7 million and a net loss attributable to common shareholders of $3.5 million for the 12 months of 2019. Interest and other financing costs including interest income for the first quarter of 2021 amounted to $0.7 million, compared to $1.2 million for the same period of last year. This decrease is due to the decreased amount of debt outstanding between the two periods and the decrease in the weighted average LIBOR rate and margin in the current period as compared to – to the same period of last year. For the three months ended March 31, 2021, the company recognized a $0.5 million loss on its interest rate swap contract, comprising of a $0.52 million unrealized loss and a $0.04 million realized gain. We had no derivatives gain in the first quarter of 2020 with no derivative contracts. Depreciation expense for the first quarter of 2021 amounted to $1.6 million, compared to $1.7 million for the same period of last year, again due to the decreased number of vessels in the company’s fleet. Adjusted EBITDA for the first quarter of 2021 was $5.6 million, compared to $4.1 million during the first quarter of last year. Basic and diluted earnings per share for the first quarter of 2021 were $0.53 calculated on 6.7 million weight - basic and diluted weighted average number of shares outstanding, compared to basic and diluted earnings per share of $0.32 for the first quarter of last year, calculated on 5.57 million basic diluted weighted average number of shares outstanding. Excluding the effect from the income attributable to common shareholders for the quarter of the unrealized gain on derivatives, and the loss of – on a sale of a vessel the adjusted earnings per share for the quarter ended March 31, 2021would have been $0.45 per share basic and diluted, compared to adjusted earnings of $0.17 per share basic and diluted for the first quarter of 2020 from which results we have excluded the amortization of below market time charters acquired. Usually security analysts do not include the above items in the published estimates of earnings per share.  Let's now to Slide 16 to review our fleet performance in greater detail. As usual, we will start our review by looking first at our utilization rates for the first quarter of 2021 and compare them to the same period of last year. Our fleet utilization rate is broken into commercial and operational. During the first quarter of 2021, our commercial utilization rate was 100%, while our operational utilization rate was 96.7%, compared to 98.9% commercial and 96.2% operational during the corresponding periods of last year.  I should remind you here that our utilization rate calculation does not include vessels in drydocks or scheduled repairs, if any of those events occur during the period.  As I mentioned earlier, on average, 14 vessels were owned and operated during the first quarter of 2021, earning an average time charter equivalent rate of $12,134 per vessel per day, compared to 19 vessels owned and operated in the first quarter of 2020, earning an average time charter equivalent rate of $9,615 per vessel per day. Our total daily operating expenses, including management fees, general and administrative expenses, but excluding drydocking cost averaged $6,914 per vessel per day during the first quarter of 2021, compared to $5,881 per vessel per day during the same period of last year. The increase part is being due to the different composition and smaller size of our fleet and partly due to increases of certain components of the costs. Let's now look at the bottom of the table to our daily cash flow breakeven levels presented here on a per vessel per day basis. For the first quarter of 2021, our cash flow breakeven level was $9,337 per vessel per day, compared to $8,611 per vessel per day during the same period of 2020.  Let's move now to Slide 17. This is a new slide and we included this to provide our shareholders and investors with a tool to our shares the earning potential of our fleet in the rest of 2021 and during 2022.  The table shown in this slide is two parts. The first refers to our already in place contracts. The table shows the available days for hire of our fleet making assumptions for the scheduled drydockings, the number of contracted days in each period, as well as the differential of the two remaining open days. As you can see, all of our vessels are contracted for the second quarter of this year, while 86% of our available days for the third quarter, 70% days – of our days for the fourth quarter are contracted too. Similarly, 49% of the 2022 available days are contracted and even 22% of our 2023 days are already contracted.  For the contracted days, the table also shows the average contracted rate which allows you by making an assumption for the operating expenses and the G&A expenses per day to estimate their likely EBITDA contribution. For the open days, the user of this calculator or to make an assumption for the daily rate to be earned which would allow him or her to estimate their own EBITDA contribution.  To provide an indicative calculation, this example uses the same rate as the one of the already contracted days one can see the effect from the total EBITDA for 2021 and 2022. I would like here to mention that based on the current market rates, as indicated in the new ConTex Index, our Open Days should earn on average of more than $30,000 per vessel per day with significantly above the current contracted average rate that we use as an indication in this table. This overall exercise is meant to provide a tool to calculate or will be therefore the remainder of 2021, but also for 2022 and even 2023 by entering once shown assumptions above the rates for the Open Dates.  However, it is hard not to observe that even if we just assume that our open days will earn the rates as shown in the table, which as I mentioned as half and two-thirds of the current market rates for the remainder of 2021 and 2022, it’s hard not to observe that our EBITDA for 2022 would increase by 50% over the EBITDA for 2021, which in turn, as I previously mentioned, would be more than three times higher than the EBITDA level we had during last year. Let’s now move to Slide 18 to review our debt profile. This slide shows in the bottom graph our cash flow breakeven level expectation for the next 12 months and on the top part of the slide, we can see our scheduled debt repayments over the next several years. As you can see, our loan repayments during 2021 are scheduled to be $6.6 million. We can see this in the dark shaded part of the slide and they are scheduled to remain roughly at the same level in 2022 and decline in 2023. In 2021, we also had balloon payments of about $12 million we made collateralized by four of our vessels. In 2022, there is a smaller balloon payment of $1.9 million to be made, again collateralized by one vessel.  And finally, in 2023, we have balloon payments of about $33 million collateralized by the remaining of our vessels. We will seek to refinance all of the above balloon payments when they come due in line with our practice in the past. In all previous instances, we were able to finance our balloon payments and extend the maturity of the loans. I would like to state here that in January 2021, we made a voluntary redemption of EUR 2 million of our preferred equity, reducing the balance to a little more than $6 million. An additional benefit for us of this voluntary repayment was that our preferred shareholders agreed to keep the dividend rate for our preferred stock to 8% if paid in cash or 9% if paid incurring at the option of the company. This dividend rate was set to become 14% in January of this year and as a result of the redemption will remain at the lower 8% levels for another two years pushing the potential increase to 2023 by which time it’s very likely that we will voluntarily redeem the remainder of our preferred equity.  A further quick note here on the cost of our funding before we move to review the cash flow breakeven levels. As we pay an average margin on our bank debt of about 3.6% and assuming the LIBOR rate of 0.3%, our senior debt cost averages about 3.9%. If we take into account the cost of our preferred equity, our average cost of non-equity funding as of the end of last quarter was about 4%.  Let's now look at the bottom of this table, where we can see our cash flow breakeven level expectation for the next 12 months in dollars per vessel per day. Our loan repayments that we discussed previously are to make $1,632 contribution to our breakeven level.  If we make similar assumptions for the remaining components of our cash flow breakeven level that is operating expenses, general and administrative expenses, interest payments, drydocking cost and cash payments for our preferred stock dividend, we come up with a cash flow breakeven level for the next 12 months of about $9,800 per vessel per day. Let's now move now to Slide 19. This slide provides highlights from our balance sheet, both on the basis of the book value of our vessels and is adjusted for the current market value of the fleet. As of March 31, 2021, we had cash and other assets of about $12 million, while the book value of our vessels was about $97 million, giving us total book assets of about $109 million.  On the liability side, we had an outstanding bank debt of $64.9 million, preferred equity outstanding of about $6.4 million, and other liabilities of about $6.6 million.  If we replace the book value for our vessels with our charter-adjusted current market values of our fleet, we can calculate the net asset value of our fleet to be in the - around $165 million or about $24 per share.  Recently, our shares have been trading in the range of $14 million to $17 million per share. Although this share price level reflects a significant increase since the beginning of the year, it still represents a significant discount to our net asset value per share, thus offering good appreciation potential for our shareholders and good investment opportunities for other investors. And with that, I would like to turn the floor back to Aristides to continue the call.
Aristides Pittas: Thank you, Tasos. Let’s now open up the floor for any discussion that we may have.
Operator: [Operator Instructions] Your first question comes from the line of Tate Sullivan from Maxim Group. Please go ahead. Your line is open. 
Tate Sullivan : Hello. Good day. Thank you. Starting on Slide 17 with the coverage days percentage at 49% for 2022 and here we are in almost end of May, how does that coverage percent compare historically? Is that a higher than normal level? 
Aristides Pittas: It is much higher than what we have had during the last decade. Our strategy when charter rates are not so strong are to fix generally for smaller periods. And in good markets, we aim to fix for longer periods and it’s also easier achievable in the market.  So, as you’ve seen the last few fixes that we did were on an average of two year length and we expect that the fixes that we will do for the remaining five vessels within this year will again be at least two years. 
Tate Sullivan : Following up on that, so with two years, and been longer than historic, what is the current term length average of your current contracts, they were less than two or about a year probably? 
Tasos Aslidis: Yes, I think the latest average is probably less than two years right now, but as vessels are – the charters of our vessels are renewed and rolled over, I imagine that will increase. 
Tate Sullivan : Okay. Thank you and I know we are talking about ten years ago at this point, but I think, can you just review your comments about 2023 about rates probably anticipating the additional supply? And I mean, what might impact that timing in 2023? And what have you seen in previous cycles if you can comment? 
Tasos Aslidis: 20% order book that we currently have approximately. It is historically not a very high order book. But -- and that order book delivers over a five year period. 2021 and 2022, we have a very little deliveries. So, that’s why we are very confident that this demand is there 2021 and 2022 are going to be extremely good years.  In 2022, the fleet can grow by a maximum of 3.3% that is without any slippage, without any scrapping. So, that’s what really makes us confident for 2022. 2023, the deliveries – the expected deliveries are about 6.5% of the current fleet. This is not immaterial. It’s a significant delivery schedule.  It is although on the bigger ships, very small part of these deliveries of 2023 have to do with ships up to 7,000 TEU where we are active. So, we are a bit more confident about that part of the market. But if demand does not continue growing very strongly, we could see a correction coming in 2023. 
Tate Sullivan : Okay. Thank you very much for those follow-up comments and very comprehensive. And thank you. Have a great rest of the day. 
Aristides Pittas: Thank you. 
Tasos Aslidis: Thank you. 
Operator: Thank you. And your next question comes from the line of Poe Fratt from NOBLE Capital Markets. Please go ahead. Your line is open. 
Poe Fratt : Hey, good morning Aristides. Good morning, Tasos. 
Tasos Aslidis: Good morning, Poe. 
Poe Fratt : Just to follow-up on the question about just forward cover. Have you ever had forward cover that is this high? 
Aristides Pittas: Difficult to say. I think maybe back in 2005 and 2006, we had similar coverage. But definitely for the last 15 years, no. 
Poe Fratt : Okay. And then, as you look at extending the contract terms. Are you potentially changing any of the contract terms to enhance your or protect yourselves in case rates go down? So, that there aren’t any cancellation provisions? Or can you just discuss on sort of how you approach the contract terms and whether they changed at all as the markets moved up? 
Aristides Pittas: I think, what has happened is that the markets has accepted itself to the covers set that they have to offer longer periods, because otherwise, they will have to pay even higher rates over a one year charter or six months charter. I recently read that that the charterer chartered a ship for 70,000 – for 1200 TEUs in for $70,000 a day.  But we see that’s for a small period of three months. And so, that’s something charterers don’t want to pay and of course, something that – and we prefer to have the certainty of lower number which is still extremely profitable, but it gives us a longer duration.  And the clauses in the charter parties they are not – there do not exist clauses that are make it easy for somebody to break the charter. And so, we don’t see significant changes there. 
Poe Fratt : Okay. That’s helpful. And then, Aristides, if you could just sort of talk about your fleet profile and sort of as you are looking at some of the regulations coming down the pipe, can you just talk about how you are thinking on strategically how to deal with the future regulations? 
Aristides Pittas: Of course, we adhere with all – to all current regulations and we will adhere to all future regulations. And whatever the IMO decides, which is essentially the governing entity of all ship – worldwide shipping, we are a strong supporters of the IMO and disciples to improve the living conditions of all the ships and the decarbonization process.  So we are totally in favor of all that and we demonstrate that throughout ESG Report, which we just published today and put it up on our website showing where we are and where we will be going forward. Obviously, the fleet is going to get renewed to an extent as we buy new vessels and the older vessels are going to gradually be taken out of the markets.  But I think it’s the fact that we have generally older vessels or fleet is on average age of 16 years doesn’t mean that we contribute disproportionally towards the pollution of that. Ships have changed very little over the last 25 years. Since 2013, we are seeing ships that are slightly more economical, i.e., produce slightly less fuel emissions, but just slightly.  You can cover that by having your vessel trade have not slower and compete with a younger ship. So, the dynamics that will determine how we react are the market sensitive and of course, as I said, we will continue abiding by all the rules and we are supporters of further decarbonization. And we will adjust our policies accordingly. 
Poe Fratt : Okay. Great. When might we start to see that process of some of the older vessels leaving the fleet? 
Aristides Pittas: You probably saw that last year when we sold our eldest vessels. You saw five of our vessels being scrapped last year. Two of them would probably been scrapped anyway even if the market was strong, because they were around 30 years old. But the other three, they probably would not have been scrapped, if the markets were as strong as this.  So, with a strong market, there is an incentive to keep the vessel a bit longer and to pass the vessel survey that may cost $1 million to $1.5 million and keep the vessel because you can recoup the extra cost of passing the special survey within a very short period of time.  So, we will see what happens. Definitely, when we have a next drop in the market, you can expect to see us selling some of the elder vessels. But for the next couple of years, I don’t think that we will be disposing of any of our ships. 
Poe Fratt : Okay. And then, Tasos, if you could address one thing. On Page 17, you’ve put calendar days and then available days for hire and it looks like you – there is a difference of, call it, just over 20 days per quarter for the next three quarters.  But I am looking at your drydocking expenses over next 12 months is going up from – in putting materially the 641, should I be thinking about were drydocking days going forward? Or can you just give me some color on, sort of what your drydock schedule looks for – like for the rest of the year? 
Tasos Aslidis: Well, I think that, what you see here the difference very lightly reflects as one scheduled drydock every quarter for the next three quarters and something similar for 2022. So, that is really where that difference comes from. Again, this is indicative, although it does reflect our best estimates for a drydocking schedule. 
Poe Fratt : Okay. And so it looks like that $700,000 or $750,000 per quarter for drydocking expenses?
Tasos Aslidis: This is - the $641 is per day, right? That you see at the bottom of Slide 18. $641 per day is the contribution of drydocking expenses to cash breakeven level. 
Poe Fratt : Yes. Yes, and then, I was just looking at the total expense for the quarter looking at the number of days that you have. Could you – typically, you are in pretty active discussions with your lenders. So, do you have an update on the balloon payments – $12 million balloon payment that is due at the end of the year. Should – how should we be thinking about that as far as terms? 
Tasos Aslidis: I think it is very largely – it will be refinanced as I mentioned in my remarks. Although it should be fairly, we have already started exploring auctions to refinance that and reduce its cost and I think we are on a good path to do that. 
Poe Fratt : Okay. And then, it looks like the ATM was active in the first quarter. Can you give me the number of shares that you issued in the first quarter? And then, comment on the activity going forward as much as you can? 
Tasos Aslidis: I think we issued about roughly, 90,000 shares during the first quarter. I can get you the exact number as I get on the top of my head, but something like that. And we are going to use it opportunistically we believe the price at which we can issue stock is not dilutive to our shareholders. We provide an indication that we think our NAVs in the mid $20, $24 or you shouldn’t expect us to sell at $14 or $15 shares from the ATM. 
Poe Fratt : Okay. And then, in the past, you’ve talked about potentially retiring the preferred, there doesn’t seem too much near-term pressure just because of the dividend rate is 8%. Can you talk about the preferred and whether it’s going to continue to be part of the capital structure as we look after this 2022? 
Tasos Aslidis: I think I did mentioned in my remarks that it is very likely would be redeemed in the remaining of this year. 
Poe Fratt : Okay. Thank you so much. I missed that. 
Tasos Aslidis: Thank you. Thank you, Poe. 
Aristides Pittas: Thank you, Poe.
Operator: Thank you. I will now pass the floor back to the Chairman and CEO, Aristides Pittas for closing remarks. 
Aristides Pittas: Thank you everybody for being with us in today’s first quarter results discussion. We will be back to you in three months time. Thank you. 
Tasos Aslidis: Thanks everybody. Have a nice day.
Operator: Thank you. This concludes today’s conference call. Thank you for participating. You may now disconnect.